Operator: Ladies and gentlemen, thank you for standing by. Welcome to Gilat’s Fourth Quarter and Full Year 2012 Results Conference Call. All participants are at present in the listen-only mode. Following the management’s formal presentation, instructions will be given for the question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded, February 13, 2013. I would now like to turn the call over to Philip Carlson of KCSA to read the Safe Harbor statement. Philip, please go ahead.
Philip Carlson - Investor Relations, KCSA: Thank you. Good morning and good afternoon everyone. Thank you for joining us today for Gilat’s fourth quarter and year end 2012 results conference call. A recording of this call will be available beginning at approximately noon Eastern Time today, February 13 until February 15 at noon. Our earnings press release in website provides details on accessing the archived call. Investors are urged to read the forward-looking statements in our earnings releases, which state that statements made on this earnings call, which are not historical facts, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All forward-looking statements, including statements regarding future financial operating results, involve risks, uncertainties and contingencies, many of which are beyond the control of Gilat and which may cause actual results to differ materially from anticipated results. Gilat is under no obligation to update or alter our forward-looking statements whether as a result of new information, future events, or otherwise. We expressly disclaim any obligation to do so. More detailed information about risk factors can be found in our reports filed with the Securities and Exchange Commission. That said, on the call today is Erez Antebi, Gilat’s Chief Executive Officer and Yaniv Reinhold, Chief Financial Officer. Erez, please go ahead.
Erez Antebi: Thank you Phil and good day everyone. I would like to begin by providing a high-level overview of the fourth quarter and year end results and then discuss some of the significant advancements we have made this year. Following my comments, Yaniv will discuss our financial results. I will then summarize and open the call for questions. The fourth quarter was another positive quarter for Gilat highlighted by continued improvement in revenues, excellent cash generation, and further operational improvements. Before I discuss some of the business highlights, I will briefly review our financial performance for the quarter and full year. Our revenues increased to $97.4 million in Q4, up by 9% from the third quarter of 2012 with EBITDA reaching $10.7 million or 11% of revenues. For the full year, our revenues increased to $348.4 million, up 3% from 2011 with EBITDA reaching $2.1 million or 9.2% of revenues. I am happy to report that we achieved the high end of our revenue guidance range for the year. In addition, over the last three quarters we succeeded to increase EBITDA to 10.7%. However, we fell slightly short of our management objectives for annual EBITDA target of 10% due to a soft first quarter. In addition to strong revenues and profitability, we also generated significant cash from operating activities of $18.1 million during the quarter. As of the end of 2012, we have $21.4 million cash over debt up from the $4.4 million we started with at the beginning of the year. Yaniv will discuss more in detail our efforts on improving working capital and what we have achieved. On a non-GAAP basis, our operating income was $6.6 million in the fourth quarter of 2012 compared to $5.7 million in the third quarter of 2012. I’d like to take a moment to talk about Wavestream. Wavestream is a great company with excellent technological advantages. The company is profitable and cash positive. Following the soft quarter in Q1 of 2012, Wavestream achieved three consecutive quarters of revenue growth, profitability growth, and increased cash generation. Looking into the future, we are encouraged by the deal funnel we see and we are also encouraged by the recent deals that we are signed with TECOM and Honeywell and the airborne industry, which is yet another testament for the great products that Wavestream develops. We believe the Wavestream will continue to grow in the future both in revenue and profitability. However, the continuing pressure and ongoing uncertainties surrounding future spending on DOD budgets in the U.S. as well as the other elements have led us to extend our anticipated timeframe and moderate the forecasted phase of growing the Wavestream business. Therefore, this quarter we are taking a non-cash impairment of goodwill and other intangible assets charge related to Wavestream in the amount of $31.9 million. As a result of this non-cash impairment on a GAAP basis, we’ve recorded a net loss of $23.2 million for the full year compared to a net loss of $5.9 million in 2011. Before I move to the business highlights for this quarter, I would like to make one comment with regards to our efforts to reduce costs. During 2012, we focused on reducing costs and the integration of Wavestream and RaySat Antenna Systems into Gilat. I am happy to report that this conscious effort to save costs has resulted in a total of $8.3 million in reduced operational expenses from 2011 to 2012, a reduction which came from across multi-departments. We will continue to focus on cost efficiencies as we continue the integration process. I will now discuss some of our business highlights for the quarter starting with our commercial division. Our commercial division had a strong quarter which was highlighted by both existing contract execution as well as new contract wins. First, I will discuss our movement to the consumer market and the progress we are making in Europe with SES and HISPASAT and NBN Co. in Australia. Toward the end of 2012, we started to see initial sales of CPE by European ISPs for the SES broadband service. The SES Ka-band satellite was launched in September and the SBBS service commenced in mid-December. We are very excited about this opportunity and we have started to gain momentum on our Ka-band initiative and we are seeing additional orders from additional European ISPs. We expect the momentum from the Ka-band multi-spot beam opportunity to continue during 2013 and onward. HISPASAT in Spain is another consumer project based on our technology, which is also progressing quite well. HISPASAT recently announced that they have reached a total of 4,010 a deployed throughout Spanish territory which makes them the market leader in satellite residential broadband market in Spain. In Australia our implementation at NBN Co continues to progress very well. This network rollout has been a solid revenue source for more than a year. And as we have stated in the past the network may grow to as many as 48,000 sites by late 2015. Moving forward to other verticals in our commercial division, we are very excited about some of our recent wins since our last quarterly conference call. We recently announced that we have partnered with Huawei to deliver a cellular backhaul solution to a Southeast Asian mobile network operator. As part of this project, we will supply and install SkyEdge II hub VSAT and related services including remote site installation. Last week we announced that we were selected by ALEF Soluciones Integrales, ALEF and GSAT Comunicaciones, Globalsat one of the Mexico’s largest satellite service providers to provide over 7000 SkyEdge VSATs in support of the Mexican government's new SCT 10K service. The SCT 10K service is a Ministry of Communication and Transportation initiative. They will provide classrooms and government offices with broadband internet connectivity. And finally in the banking industry we announced that Gilat was selected by Bharti and by Tata’s Nelco to provide VSATs for India’s Ministry of Finance National ATM initiative. It is expected that can provide up to 30,000 ATM sites with secured broadband satellite based communications as part of this contract. As we turn our attention to our defense division we have made good progress this quarter and excited about the opportunities that lie ahead. During the quarter we closed several defense based deals including a project for a quick-deploy forces for a South American Air Force where Gilat will be providing SkyEdge II hubs and VSAT terminals, antennas and bucks. Another deal we closed during the quarter is to supply our (indiscernible) man-packs to the military of an undisclosed country. And in a project with the Southeast Asian Navy we will upgrade this ground operations with an IP based satellite communications system, which will provide enhanced broadband services, while also enabling strategic military communications on-board the Navy’s mobile vehicles. Moving to the avionics arena, our Wavestream subsidiary was awarded an exclusive contract with Honeywell to supply Ka-band transceiver for integration into airborne antenna systems, to provide in-flight connectivity to the Inmarsat Global Xpress network. While a scale production for the transceivers is not expected to begin until sometime in 2014, we believe this contract win is a reflection of our strong Satellite-on-the-Move technology and solidifies our position in the growing in-flight connectivity market. Further evidence of our growing presence in this market is a recent agreement with TECOM Industries to provide commercial FAA Certified 25 watt and 40 watt Ku-band AeroStream transceivers for integration into TECOM’s Ku-stream 1000 and Ku-stream 1500 broadband antenna systems for onboard use in commercial and military aircraft. Moving to our services division, we have recently announced the deal that came from Gilat Peru that won a $9.6 million contract with Peru’s state bank, Banco de la Nación, a Gilat customer for over 10 years. Spacenet was awarded a five-year base contract by one of the world’s leading delivery service organizations to upgrade and provide network connectivity to more than 5,700 locations. The contracts valued at over $20 million includes an option for the organization to extend the five-year base period of performance for a three further – three-year periods for a total potential contract period of 14 years. Spacenet also closed additional projects during the quarter including Centerpoint Energy for VSAT services expansion and for broadband and VSAT technology refresh. That concludes our business overview. I would now like to turn the call over to Yaniv Reinhold, our CFO who will review the financials. Yaniv please.
Yaniv Reinhold - Chief Financial Officer: Thanks Erez and hello everyone. I would like to remind everyone that our financial results are presented both on a GAAP and non-GAAP basis. The GAAP financial results include the effect of non-cash stock option expenses as per ASC 718, other income, costs related to acquisition transactions, impairment of goodwill and intangible assets and restructuring costs and a motivation of intangible assets related to acquisition transaction. The reconciliation table in our press release highlights this data and our non-GAAP information is presented excluding these items. Revenues for the fourth quarter of 2012 were $97.4 million compared to $93.6 million for the same period in 2011. The increase is due mainly to strong sales in our commercial division with higher revenue levels from the NBN Co project in Australia. Our revenues for the fiscal year of 2012 increased by 3% and reached $348.4 million compared to $339.2 million for the same period in 2011. Our gross margin for the fourth quarter on the non-GAAP basis was 35.5% compared to 37.8% in the comparable period last year. As we have mentioned in the past, our gross margin is affected quarter-to-quarter by the regions in which we operate and the types of deals we recognized. Our gross margin for 2012 on the non-GAAP basis was 34.4% compared to 38% for 2011. This decrease is due mainly to the growth we have achieved in our revenue for systems integration elements in our business such as in NBN Co as well as other types of deals we have secured during the year. Operational expenses from 2011 to 2012 decreased by $8.3 million as a result of our focused effort on reducing cost and the integration of Wavestream and RaySat Antenna System into Gilat including the streamlining of operational and R&D processes. Our operating loss for the quarter on a GAAP basis was $28.1 million compared to an operating loss of $15.2 million in the fourth quarter of 2011. Our operating loss for 2012 on a GAAP basis was $25.1 million compared to an operating loss of $12.3 million for the same period in 2011. The GAAP operating loss was affected by the non-cash impairment of goodwill and other intangible assets of $31.9 million, as well as the restructuring cost relating to cost reduction efforts in the amount of $0.3 million totaling $32.2 million. As Erez mentioned previously, the continuing pressure in ongoing uncertainties surrounding future spending on DoD budgets the U.S. as well as other elements have led us to extend our anticipated timeframe and moderate the forecasted pace of growing the Western business. This led us to reevaluating investment level on our books and resulting in a non-cash impairment of the related goodwill and intangible assets in accordance with ASC 350. On a non-GAAP basis operating income was $6.6 million in the fourth quarter of 2012, similar to the comparable quarter of 2011. On a non-GAAP basis, operating income for 2012 was $16.8 million compared to $17.5 million for the same period in 2011. With regards to backlog, we entered 2013 with a backlog of $239 million. We have seen a decrease in backlog mainly from our services division, which was impacted by the Compartel project. As we announced previously, we did not place a proposal for the re-bid of the continuation of the Compartel project in Columbia, which includes the size we are currently servicing. This was due to economic condition in the times of the re-bid, which we considered unfavorable. These factors have partially offset by an increase in defense backlog. Increasing cash flow has been one of the goals of the company and the focus of the management team throughout the year. Our cash flow from operating activities in this quarter increased by $18.1 million. We continued to focus our efforts on improving our working capital. This was mainly reflected by a reduction of $6.9 million in our inventory from $31.9 million at the end of 2011 to $25 million at the end of 2012. Our trade receivable at the end of the quarter was $61 million representing the DSO of 56 days. Looking at our debt and cash balances, while our total debt as of December 31, 2012 was $48.7 million, our total cash balances including restricted cash net of short term bond credit amounted to $17.1 million. In the beginning of October, we repaid $14.6 million of convertible notes plus accretive interest. This was the main reasons for the decrease in our debts. We started 2012 with $4.4 million in net cash and following strong cash generation especially in the fourth quarter we are able to grow 2012 with $21.4 million in net cash. Our shareholders’ equity at the end of the quarter totaled $242 million. This concludes the financial review for the quarter and I would now like to turn the call back to Erez. Erez?
Erez Antebi - Chief Executive Officer: Thank you, Yaniv. We are very pleased with our overall numbers for the fourth quarter as well as year end 2012. This quarter was highlighted by 9% revenue growth from the third quarter of 2012, EBITDA margin of 11% and over $18 million of operating cash generation. Although we are taking the non-cash impairment related to Wavestream we are confident in their performance going forward. Looking into 2013, our management’s objectives are to achieve revenues in the range of $350 million and $360 million and maintain an EBITDA margin level of 9% similar to the levels achieved in 2012. We expect that top line growth will result from a combination of growth in our defense division, partially offset by the anticipated reduction in services division revenues mainly attributable to Columbia. That concludes our review. We would now like to open the floor to questions. Operator, please.
Operator: Thank you. (Operator Instructions) The first question is from James Breen of William Blair.
James Breen - William Blair: Thanks. Can you give us some more color around Wavestream with respect to the U.S. government and how do you see that trending throughout this year? And then also can you talk about some of the seasonality associated with the business in terms of potential revenue step down in the first quarter and ramping from there? And then lastly, as we look you seemed to have growth in some of the international markets, how do you see your overall business makeup change over the course of the next 12 months with respect to some of the currency impacts? Thanks.
Erez Antebi: Okay, I’ll start. The first question I believe was relates to Wavestream and how we see that with the DoD. And I think the keyword here is uncertainty on the – with respect to the budget and the programs, just to remind I think you and everyone that would in terms of DoD programs, there are programs of records that are awarded to prime contractors, and then the Wavestream provides those prime contractors with amplifiers and bucks. The uncertainty on the defense budget and the spending and how it will relate in one way or another to very, very specific programs, it’s very hard for us to judge. So, we are being – we are looking at it. We are seeing the discussions on. We are now still on continued resolution we are seeing with discussions on sequestration. It’s very, very hard to pinpoint exactly which programs will be hit by what degree, but as an overall estimate, I think we are seeing more softness in that area. And therefore we have somewhat modified our outlook on that. With respect to seasonality, we have typically over the last three years we have seen that the first quarter is our softest quarter and the fourth quarter is our strongest quarter. We are seeing that the last three years in 2012 as well. And we would expect that, that trend will continue. I am sorry I don’t remember the third question.
James Breen - William Blair: Just with respect you are growing a lot of business internationally in different markets, I am wondering how currencies affected you in the quarter?
Yaniv Reinhold: Okay. We operate – most of our operations are done in U.S. dollar. So, we do not expect to be affected from currency changes. In Israel, we have a significant expense coming from salary that’s been paid. We are hedged over most of next year.
James Breen - William Blair: Perfect. Thank you.
Operator: The next question is from Andrew Uerkwitz of Oppenheimer. Please go ahead.
Andrew Uerkwitz - Oppenheimer: Hey, thanks guys. Just a quick question around EBITDA margins, you guys did a really good job growing that in 2012 as well as cutting some expenses, but what is ‘13 just the expectation of soft quarter and kind of a same trend that we saw in ‘12 or why is it kind of ticking down here?
Yaniv Reinhold: I don’t think it’s ticking down. We said we would expect it to be around the same level of 9%, which is what we did in 2012, so…
Andrew Uerkwitz - Oppenheimer: Yeah, I guess what I say is that you sequentially were able to grow it from first, second, third, and four. So, I guess -- and your number is growing and you cut some expenses, so I guess I would have thought it would have been higher. So, is there an expectation as the expenses are going to continue to grow in ‘13 – expenses will start to grow again in ‘13 or I continue to feel like EBITDA margins, I think if I remember correctly, third and fourth quarter were definitely well about 10, and so I guess the way I look at it is for modeling purposes for us to get back to a 9, I feel like something you got to expect that to go back up or something that’s back here in ‘13 or what am I missing?
Erez Antebi: We have actually two issues here. One of them is the seasonality in which we see for the last three years and we do not expect Q1 to be improved over Q4. This is the first thing. The second thing is the mixture of deals between the divisions. As I was explaining, we will have and we forecast a decrease in revenues and following debt by, sorry – and following with a profitability coming from the services, which will be offset by an increase coming from the defense. So, the mixture will bring us approximately to the – we expect the same level of 2012.
Andrew Uerkwitz - Oppenheimer: Okay. And the next question is you mentioned Wavestream has improved quarter-over-quarter can you give us a little color on RaySat?
Erez Antebi: Unfortunately, we don’t report separately each of the subsidiaries we will be reporting as whole divisions.
Andrew Uerkwitz - Oppenheimer: Okay, great. Thank you.
Operator: The next question is from Gunther Karger of Discovery Group. Please go ahead.
Gunther Karger - Discovery Group: Hi, yes, good morning, question regarding the Wavestream and the sequester that, that’s been referenced, does your projection – revised projection assume that the sequester will be implemented. And if – on the other hand if the sequester is delayed or possibly even drastically modified will that alter your projection for Wavestream?
Erez Antebi: I think that with – like I said before we don’t – we’re not selling directly to the partner of defense, but we are selling to the integrators and prime contractors who are supplying to the partner of defense on specific programs. So, I think we will – we will have to look at what happens is specific programs to which we are – to which we are intended to supply and what the level is there.
Gunther Karger - Discovery Group: Thank you.
Operator: The next question is from Bruce Roberts of National Securities. Please go ahead.
Bruce Roberts - National Securities: Yes, thanks for taking the questions guys. Yeah, I was just curious back to the EBITDA question. In the fourth quarter SG&A as a percentage of sales kind of went up year-over-year to 22% from 20.5% a year ago. And then I am trying to connect that, integrate that concept with the idea of that you saved 8% in expenses during the year. And sort of relate that to the idea of that, could you continue to get that kind of run rate of expense reduction in 2013. And if so again why wouldn’t EBITDA margins be higher. So, I mean is it a question of mixture of revenues and you have lower gross margin revenues coming in 2013 or if you can just expand upon that I would really appreciate it?
Erez Antebi: Well, we expect different mixture of build, but all-in-all, we will be at the same level of margin and this will go – this will go down and field the EBITDA margin.
Bruce Roberts -National Securities: Great. And could you just address SG&A to sales why that picked up 150 basis points year-over-year and is that – is that – will it stay 22% for the year for 2013 or can that come down?
Yaniv Reinhold: In our SG&A obviously the variable expenses and fixed expenses. In terms of fixed expenses, we will keep pushing for efficiency and working on all aspects of efficiencies and cost reduction. In terms of variable cost it truly depends on the mixture of deal complex as we have higher variable cots such agent commission, and freight and then others we have less than that. So, it’s really depends on the mixture we will have in 2013.
Bruce Roberts - National Securities: Okay. And if I may just one more question please. In 2013, we are looking at your revenue growth guidance at the midpoint, which would suggest throughout 3% year-over-year. Given the rapid growth in Ka-brand you got those – referenced in early comments. And it’s possible that this will – it sounds like its accelerating and you guys are pretty excited about that business. Could that have an impact on your free debt revenue growth target as the year unfolds?
Erez Antebi: My things happened, but I think what we have got we are excited about the growth that we are seeing in one part of the business, but we are all aware of the fact that we expect a reduction in revenues coming from services division, especially from Columbia. So, we have a blended mix for the result.
Bruce Roberts - National Securities: Okay, alright. Thank you.
Operator: The next question is from Jonathan Art of Kaufmann Fund. Please go ahead.
Jonathan Art - Kaufmann Fund: Yes. Erez, could you follow-up a little bit on maybe quantifying how much growth you expect in defense this year and in particular what the product lines that you are expecting growth or projects you expect growth in? And could you remind us how large Compartel was and what the margins were on that program?
Erez Antebi: Well, Jonathan I’d really rather not give specific numbers on the projected growth rates of the divisions. With respect to Compartel, I am trying to remember the last -- I think the last extension we got on Compartel was for about $10 million for a period of about six months. And we did not publish any margins on that deal.
Jonathan Art - Kaufmann Fund: And when does Compartel and…
Erez Antebi: I am sorry if there was a question I couldn’t hear it.
Jonathan Art - Kaufmann Fund: Yes, when does Compartel stop accruing revenue for you?
Erez Antebi: The current contract ends at the end of this quarter.
Jonathan Art - Kaufmann Fund: And is there any other way to leverage the assets in place to continue to get revenue.
Erez Antebi: As we have stated previously, there are several options that we are looking at and we are exploring them. And we don’t – and that’s all I can say at this point.
Jonathan Art - Kaufmann Fund: Thank you.
Operator: The next question is from Chris Quilty of Raymond James. Please go ahead.
Chris Quilty - Raymond James: Good afternoon. I need to beat a dead horse on the Wavestream, but a specific question in the past, you’ve kind of given a general exposure on the WIN-T program as the single largest program for Wavestream. Can you give us were you finished up in terms of exposure for 2012 and what your longer term forecast is for sort of the mix within that business both defense, commercial activities, and perhaps some of the new step you are seeing in aviation?
Erez Antebi: In past years, the Wavestream was delivering significant product to WIN-T, Increment 1 program through GD, because that has basically dried up what will happen in the future on that, I cannot say I don’t know. We are growing in a variety of different areas and I think we mentioned one at least in this conference call, which is the aviation sector, was the TECOM and Honeywell.
Chris Quilty - Raymond James: And then also I think you have been targeting some applications in broadcast, have you had any success there?
Erez Antebi: We have been selling our amplifiers to a variety of different customers. And as these deals come across then if they are interesting enough, we publish them.
Chris Quilty - Raymond James: Got you. And any update on the Russian Ka-band opportunity that you announced last year?
Erez Antebi: Not, at this point no.
Chris Quilty - Raymond James: And are you still targeting other potential consumer Ka broadband opportunities into our...
Erez Antebi: Yes. Yes, we are definitely targeting other such opportunities.
Chris Quilty - Raymond James: Very good. Thank you.
Erez Antebi: You’re welcome.
Operator: The next question is a follow-up question from Gunther Karger of Discovery Group. Please go ahead.
Gunther Karger - Discovery Group: Yes, thank you. Do you have any comments relevant to the recent institutional price on cells of the very large blocks of Gilat stock?
Erez Antebi: No. We do not comment on that.
Gunther Karger - Discovery Group: Thank you.
Operator: (Operator Instructions) There are no further questions at this time. Before I ask Mr. Erez Antebi to go ahead with his closing statement, I would like to remind participants that a replay of this call is scheduled to begin two hours after the conference. In the U.S. please call 1-888-295-2634. In Israel please call, 03-9255-900. Internationally, please call 972-3-9255-900. Mr. Antebi, would you like to make concluding statement?
Erez Antebi - Chief Executive Officer: Yes, thank you, operator. I would like to thank everyone for your time today. We appreciate your joining us on the call. I hope we were able to give you a good understanding of the results at hand. We appreciate your continued support. Thank you, and good afternoon.
Operator: Thank you. This concludes the Gilat’s fourth quarter and full year 2012 results conference call. Thank you for your participation. You may go ahead and disconnect.